Operator: Ladies and gentlemen thank you for standing by. Welcome to the UMB Financial Third Quarter 2013 Financial Results Conference Call. At this time all participants are in a listen-only mode, following the presentation, we will conduct a question-and-answer session and instructions will be provided at that time. (Operator Instructions) I would like to remind everyone that this conference is being recorded today, Wednesday October 23rd, 2013. And I will now turn the conference over to Kay McMillan, Director Investor Relations. Please go ahead.
Kay McMillan: Good morning, everyone, and thank you for joining us for our conference call and webcast regarding our third quarter 2013 financial results. Before we begin, let me remind you that our comments in this conference call contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of ‘95. Such forward-looking statements rely on a number of assumptions concerning future events and are subject to risks and uncertainties, which could cause actual results to differ materially from those indicated in our statements made during this call. While the management of UMB believes our assumptions are reasonable, UMB cautions that material changes in interest rates, the equity markets, general economic conditions as they relate to the company’s loan and fee-based customers, competition in the financial services industry, the ability to integrate acquisitions and other risks and uncertainties, which are detailed in our filings with the SEC may cause actual results to differ materially from those discussed in this call. UMB has no duty to update such statements and undertakes no obligation to update or supplement forward-looking statements that become untrue because of new information, future events or otherwise. By now, we hope most of you on the call who are listening via webcast have had a chance to review our earnings release, which was issued yesterday afternoon. If not, you will find it on our website at umb.com. Also new this quarter we’ve published some supporting slides on our website that contains some of the drivers and metrics we’ll discuss today to make it a bit easier for you to follow along and to review our source. A link to the slides could be found at umb.com in the about UMB section or in the Investors section under Presentation. On the call today are Mariner Kemper, Chairman and Chief Executive Officer; Peter deSilva, President and Chief Operating Officer and Mike Hagedorn, our Chief Financial Officer. The agenda for today’s call is as follows: Mariner will provide high level commentary on our results and Mike will review the details of our financials. Then Peter will review key fee income business drivers. Following that, we’d be happy to answer your questions. Now, I’ll turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay. Good morning everyone and thank you for joining us today. Our third quarter results continue to reflect strong performance by our business units. Net income increased 31.8% to $34.4 million or $0.83 per diluted share, earned on total quarterly revenue of $207.2 million. Net interest income for the third quarter increased 6.5% compared to same quarter last year. Driven primarily by increased balance sheet volume, non-interest income increased 14.4% to a $121.6 million largely due to nearly 22% increase in trust and securities processing revenue. Non-interest income was 58.07% of total revenue for the quarter. Non-interest expense for the quarter was $153.1 million an increase of 4.9% compared to the same period a year ago. These results combine with our improved revenue, drove an efficiency ratio of 70.8% compared to 74.3% for the third quarter of 2012. Once again I’m happy to report strong loan growth, total net loans at September 30, 2013 were $6.4 billion, 21% higher than a year ago. On a linked quarter basis, this an increase of 2.6%. This is our 14th consecutive quarter of loan growth and seventh consecutive quarter of year-over-year double-digit loan growth. Utilization continued its upward trend increasing to 31.3% compared to 28.3% a year ago. Compared to the industry, nearly 1,000 regulated financial institutions that had announced results as of October 21st, 2013 reported an increase in loan balances of just 2.6%. Our reputation in the markets we serve as well as the experience in tenure of our relationship based lenders continued to drive our performance. Loan growth continues to come primarily from increased market shares, 55% of our year-to-date commercial loan growth has come from new client relationships. All of our regions once again reported double-digit year-over-year loan growth. In terms of loan types C&I lending was the primary driver for the quarter with September 30 loan balances of $3.4 billion, a $685 million or 25.5% increase. Commercial real estate had an impressive third quarter with ending balances of $1.6 billion a 22% increase over the same period a year ago. As you come to expect our underwriting standards remained the same even if our loan portfolio expands. Overall non-performing loans as a percent of total loans were just 0.48%. And net charge-offs as a percent of average loans improved to 0.20% compared to 0.44% a year ago. Before Mike gets into the rest of the detail about the quarter I’d like to highlight some of the events over the past several weeks. On September 9th we announced our intention to offer 3.9 million shares of common stock in a follow on offering. Those past five years our average loan balances have grown 52% and we’ve had, and we’ve completed 14 acquisitions. Additionally we’ve historically maintained higher levels of capital. Successful execution of our growth strategy has an impact on our capital and the pace of that growth could surpass our ability to organically grow capital over time. The additional capital raised in the follow on offering provides flexibility and allows us to continue our growth. I’m very pleased with the strong investor response to our offering which demonstrate the confidence new financial markets have in our strategy and ability to execute effectively. In the end, many of the institutions interested in the offering or new to UMB, a strong statement for our 100 year old company. Coincidentally on September 5th a week before our stock offering, we filed an 8-K regarding a single client that is expected to migrate approximately $1.08 billion in deposits to another institution. While we felt it was appropriate to disclose this information, the timing was unfortunate given the capital rates we had been working on for several months. There was no relationship between the deposit migration and the offering and while we eliminated and what we could communicate around the time of stock offering, I can now provide a bit more context. The decision to move the deposits up our balance sheet was a result of an ongoing dialogue we’ve had with this customer for the past couple of years. If you’ve followed us for any length of time, you’d know that we have a long standing risk management strategy and during the review of potential deposit concentrations we approached this customer to reduce their deposits. The customer will continue to work with us on their asset servicing business even after the deposits have exited. With that I’ll turn in the conference call over to Mike who will discuss our financial results in further detail. Mike?
Mike Hagedorn: Thanks, Mariner and welcome everyone. This morning I will review our company’s financials and provide a more details from our four business segments results. During the third quarter, our average balance sheet grew 13.3% and average earning assets increased 14.1% to $13.9 billion. As we execute our strategy to replace the roll-off from the investment portfolio to achieve a more favorable earning asset mix in this low interest rate environment. More than 65% of the average earning asset growth came from loans. The average balance in our investment portfolio for the quarter was $7 billion, 7.3% higher than the third quarter a year ago. The average yield on securities was 1.99%, an increase of 4 basis points from last quarter and a decrease of 14 basis points from the third quarter of 2012. Detail on the investment portfolio can be found on the last page of the supporting slides available on our website. Activity during the third quarter included the roll-off of $265 million in portfolio securities at an average yield of 1.85%. In turn we purchased $77 million in securities at an average yield of 1.02%. Changes in the portfolio combined with updated key assumptions shortened the effective duration slightly from 47 months to 46.4 months on a linked quarter basis. We continue to have a bias for shortening the portfolio’s duration as securities mature which gives flexibility to fund loan growth. During the next three months, $305 million of investments with an average yield of 2.02% with cash flow and during the next 12 months $1.1 billion investments with an average yield of 1.88% with cash flow. The securities mix in our portfolio remained approximately same as the second quarter. Mortgage-backed securities and municipal securities represent 46% and 30% of the portfolio respectively. 56% of our total loan portfolio is expected to re-price or mature in next quarter and 68% were re-priced or mature in the next twelve months. Allowance for loan losses is $74.9 million and allowance as a percent of total loans is now 1.15% compared to 1.32% a year ago. We continue to believe this level is appropriate given the high quality of our loan portfolio and the history of charge-offs. Our coverage is nearly 2.5 times the amount of non-performing loans, while the median industry allowance reported for the second quarter would have coverage just over two-thirds of non-performing loans. We remain well capitalized with Tier 1 leverage and total risk-based capital ratios of 12.93%, 8.34% and 13.74% respectively. As Mariner discussed our recent common stock offering bolstered our capital position and will support our continued growth. Looking at the liability side of the balance sheet average deposits for the quarter increased 13.5% to $11.8 billion. As Mariner mentioned we announced in September that our larger client would migrate their deposits to another institution. As of September 30, 2013 these clients’ deposits totaled $1.1 billion and remained on the balance sheet. Average non-interest bearing deposits continued to comprise approximately 40% of our total average deposits. Our high percentage of free funds continues to be a competitive advantage and is reflected in low overall cost of funds. Our overall cost of funds was 16 basis points for the third quarter versus 24 basis points a year ago. If you factor in free funds this brings the number down to just 10 basis points. Average shareholder equity was $1.3 billion virtually unchanged from the same period a year ago. The impacts of the additional capital from the equity offering can be seen in actual ended period of shareholder equity which increased 13.1% to $1.5 billion. Additionally total shareholder return during the past five years was 13.7%, for the same period returns from the S&L U.S. bank index were negative 6.9%. Moving to other financial highlights, return on average assets improved to 0.92% for the quarter, from 0.79% in the third quarter 2012. Return on average equity for the quarter improved to 10.84% from 8.12% a year ago. Turning to the income statement for the third quarter 2013, net-interest income increased 6.4% to $85.5 million, on a linked quarter basis net-interest income increased by 3.9%. The drivers of the year-over-year change included $4.6 million and additional interest income from loans as well as a reduction of approximately $1 million in interest expense on deposits. Average net interest margin for the third quarter was 2.61%, improved from 2.56% last quarter but 19 basis points lower than the third quarter of 2012. As you know our loan yields are largely tied to the prime rate or LIBOR and will remain under pressure unless there is a meaningful move in the Fed funds rate. For context, the one month LIBOR was down 3 basis points for the 12 months ended September 30. Roughly the expansion of our loan portfolio provision expense increased $2 million, or 44% compared to the third quarter 2012. Non-interest income increased 14.4% to a $121.6 million. As Mariner mentioned trust and securities processing which largely comes from our asset management and asset servicing businesses was the biggest contributor to non-interest income this quarter increasing 21.6% to $68.5 million. Additionally you’ll note that the other category and non-interest income increased by $3.4 million or 68.6% compared to third quarter 2012 driven largely by $3.9 million unrealized market adjustments on an equity method investment. For the third quarter 2013, non-interest expense increased to 4.9% or $7.2 million to $153.1 million. The primary components of this year-over-year increase were a $4.9 million increase in salary and benefit expense, a $1.9 million increase in equipment expense. And a $1.5 million increase in processing fees largely due to fees paid to third party distributors of the Scout funds. Now I’ll review the financial results of our four business segments. Peter will provide more detail on the drivers of these segments later in the call. Looking first at Institutional Investment Management for the third quarter non-interest income was $33.8 million, an increase of 36.5% versus $24.8 million in the third quarter of 2012. Non-interest expense increased 21.8% to $21.1 million compared to the third quarter a year ago. This increase is largely due to increased processing fees to third party distributors that I previously mentioned. And the pretax profit margin for Institutional Investment Management increased to 37.6% for the quarter compared to 30.1% in the same quarter last year. Moving to Asset Servicing for the third quarter non-interest income for the segment increased to $11.6 to $20.4 million. Non-interest expense was flat at $17.2 million and the pretax profit margin for Asset Servicing was 18% for the third quarter, improved from 8.7% a year ago. In Payment Solutions for the second quarter, non-interest income increased 14.5% to $18.4 million. Net interest income increased 6.9% to $11.6 million and non-interest expense increased to $3.8 million or 21.4% to $21.6 million compared to the third quarter of 2012. This increase is primarily related to increased staffing and other expenses related to our assumption of FDR’s processing business in fourth quarter 2012 and bank-card processing fees associated with the increase in sales volume. The pre-tax profit margin for Payment Solutions was 12.5% from the third quarter 2013 compared to 28.2% for the third quarter 2012. Finally, our fourth segment the Bank for the third quarter net interest income for the segment increased 6.3% to $73.4 million. Non-interest income increased to 3.8% to $49 million, non-interest expense decreased slightly to $93.2 million compared to $93.7 million a year ago. And the pretax profit margin for the bank was 22.3% for the quarter compared to 16.9% for the third quarter 2012. With that, I’ll turn the call over to Peter to discuss the drivers behind our business results.
Peter deSilva: Thank you, Mike and good morning everyone. As Mariner mentioned earlier, non-interest income represented 58.7% of revenue this quarter. As a comparison the industry median level of non-interest income to total revenue in the second quarter was 19% according to SNL Financial. To provide additional context to our results, I’d like to discuss the primary drivers of fee income and highlight some of the developments in each of our operating segments. Much of the data I’ll cover is included in the supporting slides on our website. I’ll begin with the Institutional Investment Management segment, which is comprised of Scout Investments, equity and fixed income mutual funds, and separately managed investment accounts. Revenue in this segment is driven by average mutual fund and separately managed account assets, the mix of those assets, and net flows. And finally, equity and fixed income market performance. Solid performance in net flows combined to contribute to another good quarter for Scout, despite sometimes volatile financial markets. As we announced last week quarter end, assets under management stood at $29.3 billion, an increase of 29.6% compared to third quarter 2012. Scouts fixed income mutual funds closed the quarter with assets of $1.9 billion. And Scout equity mutual funds with assets of $12.1 billion. Scouts fixed income separate accounts totaled $12.3 billion and Scout equity separate accounts totaled $3 billion in assets under management. To add to context, the S&P 500 increased 5.2% and the MSCI EAFE Index increased 11.6% for the third quarter .If you look at our flows separated by equity and fixed income strategies across all of our Scout products, including the Scout funds and separately managed accounts. Page five under supporting materials shows the drivers of the change in assets under management both net flows and equity in fixed income market impact. During the third quarter, assets in Scout equity strategies increased by $1.7 billion. Components of this increase included $229.4 million in positive flows for the Scout equity mutual fund led by the Scout Mid Cap Fund with a $132 million in net flows, $415.2 million in net flows in the Scout’s separately managed equity accounts, with a net $395 million coming into the international strategy. And a positive impact of $1.1 billion due to the increase in the equity markets. Assets in Scout’s fixed income strategies increased by $1.3 million during the third quarter, included in this increase were $610 million in net flows into the Scout fixed income mutual funds led once again by the Scout unconstrained bond fund, $629 million in net flows into Scout’s fixed income separately managed accounts, and a net positive market impact of $56.2 million across all of our fixed income products during the quarter. I’d also like to take a moment to recognize our Scout International Team. In September the Scout International Fund celebrated its 20th anniversary. Lead Manager Jim Moffatt, has been at the helm since the fund’s inception in 1993. During those 20 years the fund has grown to more than $10 billion in assets under management and is used as our flagship equity strategy. Our asset servicing segment comprised of UMB Fund Services ended the quarter with $181.7 billion in total assets under administration, an increase of 21% compared to $150 billion a year ago. Asset servicing revenue is based on a variety of factors depending on our client agreements. These include basis points on assets administered, transaction fees, or poor account fees. Drivers include new business, growth in the number of funds and shareholders we service, transaction volumes in our clients’ funds and accounts, and overall asset valuations. Page ten of the supporting materials shows metrics for some of our various services within fund services. In fund accounting and administration, 26 new funds were added over the past year and assets under administration stood at $58.2 billion at quarter end, an increase of nearly 40% compared to the same quarter of just a year ago. In our Payment Solution segment there are a number of important business drivers, including overall credit and debit card purchase volume and a result in card interchange. HSA deposits, FSA and HSA accounts, and ACH wire and check transaction volumes. We grew card purchase volume into four major categories, commercial credit, consumer credit, consumer debit, and healthcare debit. For the third quarter, purchase volume across our suite of interchange generating card products increased 19.6% to $1.6 billion when compared to the third quarter of 2012. For the quarter, interchange revenue was $16.4 million, an increase of 6.6% over the prior year. Spending by our commercial credit card customers continues to grow increasing 9.9% during the third quarter when compared to just a year ago. Spending by our commercial credit card clients represented nearly 20% of total cards spending for the quarter and continues to provide the largest portion of our interchange revenue representing more than 45% of our interchange dollars. Moving on to healthcare services, deposits in our custody accounts stood at $637.8 million at quarter end, an increase of nearly 50% compared to the third quarter of 2012, the total number of flexible spending arrangements in health savings accounts increased 41% from a year ago to $3.2 million. We had another nice quarter in Healthcare, with purchase volume of $680 million, an increase of 51.8% over the same period last year. Interchange revenue from healthcare card purchases increased 30.6% over last year to $2.3 million. Healthcare services continues to be a reliable, strategic, and low cost source of deposits and a growing source of revenue from several streams, including account and transaction fees, card interchange, net interest margin, and investment management fees. The final segment I’ll cover today is our Bank represented by our commercial banking, consumer banking, and private wealth and non-institutional asset management group. Mariner covered our commercial banking highlights and a very strong loan growth there. Home equity lines and credit balances now stand at $555 million. Our lending teams have added $62 million in new commitments over the past 12 months and portfolio utilization was 46% at quarter end. Assets in private wealth and institutional asset management stood at $9.4 billion at September 30, an increase of 21% from a year ago, comprising the $9.4 billion, a $6.7 billion in assets under management within bank asset management and $2.7 billion in assets managed by Prairie Capital Management. Our private banking fees have added an average of $85 million in loans over the past 12 months, bringing the average balance to now $305.3 million for September. With that, I’ll conclude our prepared remarks and turn it back over to the operator who would open up the line for your questions.
Operator: Thank you ladies and gentlemen we will now conduct a question-and-answer session. (Operator Instructions) Your first question today comes from the line of Chris McGratty of KBW. Please go ahead.
Chris McGratty – KBW: Hi good morning guys.
Mariner Kemper: Hi Chris.
Chris McGratty – KBW: Mariner or Mike can you talk about pipelines today versus June 30 as well as the geography.
Mariner Kemper: Sure pipeline is about what it was in the last quarter. And we continue to feel good about the pipeline as we did in the second quarter. In, for the third quarter similarly as we look into the fourth quarter. And regionally it seems to be coming from really all of our regions dollar volume as always tends to come from headquarters in Kansas City but percent growth looks pretty strong across all the regions.
Chris McGratty – KBW: Okay and maybe a comment on prices, you talked about this, how quickly the book will turn over. I’ve been wondering what you see in terms of structure on price in these spreads. Thanks.
Mariner Kemper: Yeah we do continue to see pricing pressure for all the same reasons that have existed for the last year at least with this persistent low industry environment, banks have continued to have limited options for how to invest their capital and other investor deposits. And it’s, so it’s continuing to apply pressure I think the, the spreads are certain to tighten a little bit, we’re going down less than we were. So there’s not as much pressure but there is continued pressure on the terms side again we continue to see banks do things there to remind us of previous periods for doing certain to do silly things. We obviously never play those games but we are seeing continued term expansion and… does that answers your question?
Chris McGratty – KBW: That’s helpful yeah and then one is on the depositor, the billing one that’s going to leave in the fourth quarter. Can you maybe help us with the next, out of the largest accounts that you have with the bank, how granular is the book and was this the largest, largest deposit relationship at UMB. Thanks.
Mariner Kemper: We pretty much have to stick with what we’ve already shared on that after the most part, we, as we said before we have no other depositors that have the similar characteristics. And that is a fact and it’s about all we’re able to share.
Chris McGratty – KBW: Alright, thanks.
Operator: Your next question will come from the line of Matt Olney of Stephens Inc. Please go ahead.
Unidentified Analyst: Hey good morning guys this is Tyler in for Matt. I wanted to start on the loan growth so over 4% average growth versus in 2.5 in a period was that higher average growth more a function of the strength coming off 2Q or was the growth coming consistent throughout the quarter and maybe soft and heavier pay downs at the end of the quarter.
Mariner Kemper: Do you mind doing that again?
Unidentified Analyst: So yeah so average growth was much higher than in the period growth, just curious the movements throughout the quarter do you see some higher pay downs at the end of the quarter causing in a period to be lower than the average growth?
Mariner Kemper: No, no there’s nothing really in the data there driving anything material, just fluctuations.
Unidentified Analyst: Okay and then switching over to capital, so given the backdrop of your recent capital raise and then your expectation for the level of recent loan growth to be here I guess for the foreseeable future. How low are you comfortable managing your capital in terms of a TCE ratio?
Mariner Kemper: Well you know obviously that as I mentioned in the prepared remarks, it obviously that’s part of why we raised additional capital. So we have plenty of runway I’m not sure we’re, we’re disclosing what, where we’re willing to get our TCE to but we believe we have plenty of runway.
Unidentified Analyst: Okay alright, thanks.
Operator: (Operator Instructions) Your next question will come from the line of Erika Najarian of Bank of America. Please go ahead.
Erika Najarian – Bank of America: Hi. Good morning.
Mariner Kemper: Hi Erica.
Erika Najarian – Bank of America: My first question is a follow-up to the pricing question asked earlier. As we think about the trajectory or magnitude of margin compression going forward could you help us get a sense of where your pipeline yields are relative to the 365 that you reported this quarter?
Mariner Kemper: Sure we, we talked I think last quarter on the last quarter conference call about, as we continue to manage the entire balance sheet both the fixed income side and the loans. We are attempting to get shorter on the fixed income book side and allowing for some duration expansion on the loan book in order to gain some yield in this environment. So we are remixing, we hope you’ll see that in our book over the coming quarters as we attempt to put more term in real estate debt on the books, was plenty of room for that as it relates to our mix currently. And it does allow us to see some expansion there. So we, you should see that it’s on a linked quarter basis you did see that a couple of basis points there and hope to demonstrate that in coming quarters.
Erika Najarian – Bank of America: Okay and [concerning also] in terms of either earning aspect yield, how should, we should think about the earning asset yield going forward. But maybe could you give us some color on, I know you gave us quantitative color on where despite or relative to LIBOR in terms of the C&I loans that you are putting on?
Mariner Kemper: Mike do you want to take that?
Mike Hagedorn: So Erica if I understand your question you are asking about spreads to LIBOR for new loan volume?
Erika Najarian – Bank of America: Yes sir?
Mariner Kemper: Or is it, I thought you were asking about the whole book, the whole go ahead…
Mike Hagedorn: Yeah I think she’s asking about new loan spreads to LIBOR. I think for us to have as we disclosed I think in our prepared remarks that any kind of material movement in that number or in the absolute yield you have to have an index change. So in some of your index change you’re not going to see a material change and are we going to see continuing pressure on the spread? All things being equal I think that, that’s exactly what banks will experience, we’re not unique in that.
Erika Najarian – Bank of America: Okay and just so that I can understand correctly we, the strategy in the bond portfolio is completely removed in the median for loan rates in that why we may see some duration expansion that others banks, their strategy is to really continue to shorten this to be able to fund your loan growth regardless of where loan rates go from here?
Mike Hagedorn: Yeah I’ll take that one, I think it’s too pronged I think yes obviously we want to fund loan growth first and foremost so you have that right. But also if our balance sheet continues to grow and you saw a deposit growth was pretty robust in the third quarter. The investment portfolio will grow as well and so I think at least at this point we think the smart money is on a slightly lower duration in investment portfolio than in expanding duration. And quite honestly even if we were to expand average life for duration in investment portfolio we wouldn’t buy the kind of tenure necessary to actually make a material movement in the duration of the portfolio anyway we’re not buying for instance 10 plus year cash flows in investment portfolio. So I think it’s going to be very difficult honestly to get average growth there and to do it in a smart way given that we expect insurance to go up.
Erika Najarian – Bank of America: Got it. Thank you for taking my question.
Operator: I’m showing no further questions at this time. I’ll now turn the call back to management for any closing.
Kay McMillan: Thank you very much for your interest in UMB. This call can be accessed via a replay at our website beginning in about two hours that will run through November 6. Again, we appreciate your interest and time. Thank you.
Operator: And thank you. Ladies and gentlemen, this does conclude the conference call for today. Again we thank you for your participation. And you may now disconnect your lines.